Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Currency Exchange International 2023 Q1 Financial Results Conference Call. At this time all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] A reminder that this call is being recorded today, Thursday, March 16, 2023. I would now like to turn the conference over to Bill Mitoulas, Investor Relations Manager with CXI. Please go ahead, sir.
Bill Mitoulas: Thank you, Michelle. Good morning, everyone. Welcome to the Currency Exchange International conference call to discuss the financial results for the first quarter of the 2023 fiscal year. Thanks for joining us. With us today are President and CEO, Randolph Pinna; Group Chief Financial Officer, Gerhard Barnard; and Chief Financial Officer of Exchange Bank of Canada, Alan Stratton. Alan will begin with his brief comments on EBC's first quarter performance, followed by Gerhard, who'll provide an overview of CXI's financial results and his latest perspectives on the company's operations. Randolph will then provide his commentary on CXI's strategic initiatives, sales efforts and business activities, after which we'll open it up for your questions. Today's conference call is open to shareholders, prospective shareholders, members of the investment community, including media. For those of you, who may happen to leave our call before its conclusion, please be advised that this conference call will be recorded and then uploaded to CXI's Investor Relations website page along with the financial statements and MD&A. Please note that this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our financial statements and MD&A reports for more information about the factors that could cause these different results and the assumptions that we have made. With that, I'll turn the call over to Alan. Alan, please go ahead.
Alan Stratton: Thank you, Bill, and good morning, everyone. It's my pleasure to provide you with a brief update on Exchange Bank of Canada's financial performance in Q1. The bank generated revenue of $4.9 million in Q1 2023, a 50% increase over Q1 2022. In the bank's functional currency, the Canadian dollar revenue in Q1 was $6.6 million versus $4.5 million in Q1 2022. I'll be referring to the bank's results in Canadian dollars here in to avoid the confusion that can be caused by the impact of foreign currency translation. The Payments segment represented 34% of revenue in Q1 and grew by 83% over the prior year. That growth was generated primarily through new clients acquired over the past year. Total volumes were up by 70% from $840 million to $1.4 billion. The bank generated 82% of its revenue from spot FX trades in Q1, up from 74% in the prior year. Turning over to the banknote segment, the bank generated CAD4.4 million in revenue, an increase of 34% over the prior year. Domestic clients accounted for 59% of our revenue, an increase of 48% over the prior year, and this was largely driven by the improvement in demand for international travel, as the prior year was impacted by the Omicron variant of the COVID-19 virus. The top three currencies in demand were the U.S. dollar, Mexican peso and the euro. Banknote revenue from international clients increased 19% year-over-year. While EBC completed its first trade with a new client during this first quarter, most of the increase was with existing clients that saw fit to increase their volumes with us. The U.S. dollar accounts for 98% of the bank's revenue with international clients. The bank's operating leverage was flattened Q1 relative to the prior year at 14%. Fixed and semi-fixed operating expenses increased by 26%, primarily driven by increased personnel costs, as the bank's employee population grew from 58 at the end of Q1 2022 to 82 at the end of Q1 2023. Variable costs grew by 57% driven by shipping and third-party processing fees. As a result of the continued impact of inflation on these costs, we have recently made some adjustments to pricing with some clients, and are currently reviewing it with others. The bank generated a net income margin of 5%, which was an increase from 3.5% in the prior year. Overall, we are pleased with the bank's performance in the quarter and its progress against its strategic plan. I'll now turn it over to Gerhard Barnard to discuss the group's financial performance. Gerhard?
Gerhard Barnard: Thank you, Alan, and thank you everyone for joining us on today's call. I will now present an overview of the group's results for the first quarter ending the 31st of January 2023. For the consolidated CXI group, these results are presented in U.S. dollars, unless otherwise noted. So, for the first quarter of 2023, CXI demonstrated strong year-over-year growth as a group and continued to see increased demand for international travel and a return to more traditional seasonality and travel patterns, which historically has translated into the first quarter being the weakest quarter, and the third quarter being the strongest quarter as it relates to banknote revenue. Management anticipates this pattern will reoccur in 2023 supported by continued year-over-year growth as international travel is expected to recover to pre-pandemic levels during this year. The group continues to focus on executing against the strategic plan in which significant investments are being made in three areas. Our people, CXI and EBC have nearly 360 full-time and part-time employees. Infrastructure, we opened our 38th branch location in The Mills at Jersey Gardens in New Jersey, and opened two new airport locations in the new Terminal 8 at JFK. FXOnline is now in 39 states, with Arizona being the latest addition, and thirdly technology platforms. NetSuite, the new accounting system, is going live in a few weeks. Kyriba, the new treasury management system, has nearly completed phase 1, and Alessa, an AML compliance continuous record monitoring and fraud detection software is making good implementation progress. All of these initiatives investment will support more efficient future growth. I can personally tell you that our teams are super excited and ready to start harnessing the operational efficiencies and benefits these technological platforms will bring. The first quarter also marked the successful transition to our new organizational structure that took effect on November 1, 2022. We have the right team and systems to achieve our vision of being the preferred financial solutions provider or foreign exchange services. Let's look at the group's consolidated performance for the three months ended January 31, 2023. The group generated a 32% increase in revenue for the three months period ended January 31, 2023, of $16.5 million relative to the same period in the previous year – previous period. The period – the prior year was impacted by COVID-19 notably in Canada with travel advisories and restrictions reduced demand for international travel. Since travel restrictions were progressively eased over the course of 2022, there has been an improvement in the demand for international travel. The group's top five currencies by revenue for the three months period ended January 31, 2023 were the U.S. dollar, Canadian dollar, euro, Mexican peso, and British Pound sterling, South American and Asian currencies have been slow to recover, but with Japan and more recently China with relaxing travel restrictions on foreign nationals, these markets are expected to see increased travel demand in 2023. The revenue increase over the comparable period in the prior year also reflects the acquisition of new customers in both banknote and payment product lines, as well as growth in trade, in foreign financial institutions by Exchange Bank of Canada. The group recorded net operating income of $2.7 million, which was lower than the net operating income in the same period in the prior year as some costs increased substantially, including shipping up nearly 75% or $900,000 and stock-based compensation up nearly $500,000, which was linked to the higher stock price in addition to the group's investments in new accounting and treasury management systems with a cost of nearly $200,000 for the quarter. The group generated $1.6 million in net income during the three-month period ended January 31, 2023. Now when comparing the three month period ended January 31, 2023 to the same three month period January 31, 2022, the following is notable. Payments revenue increased by 60% to $3.5 million from $2.2 million in the same period in 2022. The group processed nearly 28,500 payment transactions, representing $3.1 billion in volume in the three-month period ended January 31, 2023. This compares to around 23,500 transactions or $2.3 billion of volume in the three-month period ended 31st of January 2022. Payments revenue represents a 21% share of revenue, an increase from the 17% share in the preceding three-months period in January 31st 2022. This reflects the successful execution of the group's strategic initiative to develop scale within international payments and to acquire new client relations in both the United States and Canada. Now, banknotes revenue increased by 26% to $13 million from $10.3 million in the same period in 2022. The growth is attributed to three main drivers. Firstly, consumer demand for foreign currencies has significantly improved as restrictions on international travel have eased over the past year. Between November 2022 and January 2023, so sort of that three-month period, approximately 119 million travelers passed through TSA checkpoints in the United States airports, approximately 103% of pre-pandemic levels. Now this is an increase of 21% from the same time last year. Secondly, the group was successful at increasing its market share as indicated by the increase in newer wholesale clients and developing its direct-to-consumer footprint through newer locations, including agents and its FXOnline platform. Thirdly the group has increased its penetration in the global banknote trade, partially driven by EBC's participation in the foreign bank international cash services program with the Federal Reserve Bank of New York. The revenue growth has been consistent in both the Canadian and United States markets and across all channels on a year-over-year basis. Operating expenses increased 47% to $13.7 million compared to $9.5 million for the three-month period ended January 31, 2022. Now variable costs, including postage and shipping, sales commission, incentive compensation, bank fees and third-party technology fees increased 45% to $3.6 million compared to $2.5 million, largely due to the increase in transaction volume. There has also been a significant rise in shipping fees due to the higher mix of international banknote trade as well as inflation, including fuel surcharges. The group recovers some of the shipping costs through fees that it charges to its clients. In some cases, it is built into the commission and the group has implemented some price increases to compensate for higher shipping costs, as Alan has also mentioned. Salaries and benefits increased 42% to $7.7 million from $5.5 million in the previous year, $300,000 or roughly 14% relates to the increase in variable compensation relating to sales commission and performance incentives. And the remaining 86% variance is partially related to incremental growth in headcount, which increased to 363 in the three-month period ended 31st January 2023 from 270 in the comparative period. It is also driven by inflation in base salaries and wages as the group implemented broad-based increases in 2022 to maintain its competitiveness in the labor market due to inflation environment, whereas wages were largely frozen in early 2022 due to ongoing impact of the pandemic. Postage and shipping again increased nearly $900,000 and approximately half of this increase is due to higher volumes in shipments. The balance is due to the product mix as international banknote trade involves air freight and third-party processing fees. Inflation, driven in part by high fuel cost has also been a contributing factor. The increase in legal and professional fees of roughly $400,000 is primarily attributing to consulting costs relating to the implementation of Oracle NetSuite, Alessa, as I mentioned the regulatory compliance system that of EBC, increased legal fees, inflationary increases on accounting-related services and an increased advertising expense supporting the FXOnline channel. Stock-based compensation increased nearly $500,000 and includes the amortization related to the vesting of issued and outstanding stock options, Restricted Stock Unit and Deferred Stock Units award, net of revaluation of the liability of the vested portion during the period. The increase reflects the increase in market value of the stock price as of January 31, 2023. Now in addition, the group has issued an additional tranche of DSUs and RSU awards on November 1, 2022, and included – and this included an expense amount equal to the portions of these awards that are vested during the three-month period ended 31st of January 2023. Losses and shortages increased $250,000 to about $440,000 and this is primarily related to shipments lost in transit that the group self-insures, reflecting significant shipments and volume increases over the year. It also reflects provisions for certain exotic currencies held in inventory. CXI primary overnight shuttle has finally identified and eliminated a processing issue in one of their hubs. The increase of other general and administrative expenses is attributable to higher license and cost -- and license and fee costs in part due to operating in more states. It's also reflective of higher utilities, office supplies and other administrative expenses as the group added two additional branches. The interest expense, primarily – is primarily related to an increase in borrowings to fund short-term working capital needs and primarily foreign currency inventory to support higher banknote volumes. On January 31, 2023, the group had $24 million in outstanding lines of credit with $27 million available. The interest rate charged on one of these credit lines increased significantly in the current period. The group recorded an income tax benefit amount of $250,000 in the first three-month period in the January 31, 2023 in comparison to an income tax expense of nearly $0.5 million in the prior year. The effective tax rate is negative 5% and is lower than the steady tax rate of 26% due to the application of a tax loss carry forward amount at EBC and the recognition of the future income tax benefit associated with prior period losses, taken at the year – at the end of the fiscal year, partially offset by certain permanent differences between taxable income and accounting income. Now let's look at the balance sheet. The group's capital base has grown to $71 million in net equity in addition to the growth in its credit facility with its primary lender to $40 million from $20 million. This securely positions the group to support its strategic platform or a liquidity position – from a liquidity position. The combination of the solid capital base and debt capacity provides sufficient liquidity to continue to meet its financial obligations and ensures that CXI is well positioned to support its strategic initiatives that include organic and inorganic acquisition of new clients in both the banknote and payment product lines. Given the unpredictable nature of demand and a significant increase in volumes, the group held higher inventory balances of certain currencies during the last quarter to mitigate the risk of running out. We're also reviewing inventory on consignment lines relative to demand and reducing levels of currency that don't need turnover presence. As we anticipate that our average levels – inventory levels will decline, although we are susceptible to high peaks, especially as our trade and international banknotes continue to grow. There is no growth in holding account balances as a result of growth in business volumes and those are offset by funds in bank accounts. I would like to conclude my discussion in iterating the group's continued focus on executing against its strategic plan with a particular focus in 2023 by making significant investments in our people, infrastructure and technology platforms to be in a position to create an even brighter future for the group and its stakeholders. At this time, I would like to turn the call over to Randolph Pinna, our CEO, to provide his perspective.
Randolph Pinna: Good morning. Thank you, Gerhard, thank you, Alan, for the detailed analysis of our performance. I would like to welcome everybody today to the call. I thank you for being here, especially those out west, I know it's quite early there. So thank you. To begin with, before I go into discussing our business, I would like to start off just at a very high level to address some comments and calls I've received around the banking crisis that's currently consuming a lot of attention now in the U.S. about the failure of two banks. Those two banks were not customers of CXI, although the banking crisis is of concern to everyone. And so we have done a thorough look at all of our banking partners, relationships, customers, and we confirm that there is no material worry for us about the potential failure of additional banks. We maintain in most of our accounts less than the FDIC Insurance on wire payments. We do require prepayment for any sizable wire. And the accounts that do have larger balances are the major banks or the larger banks, which are good customers of ours that are currently buffeting from this fear that's hitting everyone. And so we feel very solid and safe in this situation and want to put your worries at ease that we are very aware. Our risk office as well as our frontline are both active in ensuring that there is no risk to CXI and its shareholders. Now to begin with, as I like to always do, I'd like to talk about CXI's biggest asset, which is besides – the biggest asset is our people, which Gerhard has done a good job explaining that we've built a great team of experienced management, both at EBC and CXI. But besides our people, our biggest asset is clearly Exchange Bank of Canada. At a very high level, I'm very happy to see that we're consistently profitable month after month and we continue to expect growth in the bank. In fact, the management team, including the Chairman, feels that the bank has potential to become one day bigger than CXI itself, and we all appreciate such a goal. The areas in which it will allow it to grow to become such a large entity is both domestic and Canada as well as internationally. Domestically, we have not lost focus and we continue to pursue additional foreign exchange relationships with Canadian financial institutions. Another focus with those same Canadian institutions is to expand our U.S. dollar distribution using the Federal Reserve's relationship we have, and that is of demand, both currently and in the future as banks see the need for increased liquidity for U.S. dollars. Additionally, in Canada, we have been very successful. You've noticed the payment growth continuing and we will be hiring additional 3 or 4 FX bankers to expand our corporate relationships with multinational companies or domestic companies doing business internationally in Canada. That has been a successful, profitable business, and we will continue to invest in people to expand our customer base. I'm proud to have over 1,000 active corporations throughout Canada, dealing with our bank regularly each week or definitely each month. And then the biggest area of potential growth for our bank is internationally. We will continue to focus on expanding with good banks in good countries, south of the United States border as well as in Europe and Eastern Europe with countries like Italy, Poland and Czech Republic being in our focus. Moving on to CXI. Our consumer division continues to do quite well and expanding. It is expanding its retail stores. You've heard about our newest location in New Jersey, right there in New York. We expect to have one or two more stores this year, usually in our key markets such as Florida, New York area, California, and possibly Hawaii. Also, we are expanding our online store, which continues to do well. It is profitable and is expanding state by state as we receive either a license or an exemption from a license for being able to ship – cash cross-border for home delivery. We right now have access to over 75% of the U.S. population and we do hope to expand that further. Lastly, on the consumer area, our agents relationships have continued to be very profitable and allow us additional growth with less investment as a traditional store. We will – you will see us add a couple more new airports this year as well as select border locations with possible locations like Duty Free. Moving to CXI's wholesale business. Of course, our banknote business continues to be the largest part of CXI. Our – both our vaults are prepared for the summer that we have – which has already started now with spring break, we expect volumes to continue to grow. As Gerhard had mentioned, countries removing restrictions has had a noticeable effect. We have been welcoming more Chinese and more people going to China. But also this year, it is expected that the United States government will finally relinquish its requirement for non-vaccinated international visitors to return here. While that is only maybe 20% of the world population, that still represents a sizable opportunity for new customers coming from places like England and Asia back to the United States that currently are still restricted from coming. So we anticipate our consumer division in all three areas of its own stores, our online store and our agent stores to continue to see growth throughout the year. On the wire business, our integrations with companies like Fiserv and Jack Henry has proven to be very successful. We are continuing to invest into the technology and the cost to integrate with other partners. And we see that as allowing the payment business to continue to grow at the nice levels it has been. And we have a good, strong experienced team, both in IT as well as in sales and implementation to continue to onboard customers both for banknotes and wires, utilizing an integration into a core operating system. Lastly, CXI too has an international expansion plan, which sees in adding new customers in the Caribbean area, the islands, as well as select other countries. And I'd like to end with something that Gerhard did mention and is the most exciting part. I have to give a big hats off to our Board, especially to Johanne Brossard for – who pushed through what was a very difficult thing to do, which was to do this organizational restructuring. While having Wade Bracy lead the CXI wholesale business, Matt Schillo, leading our entire consumer unit and James Devenish leading our bank, has freed me up to do what I'd like to do, which is establish long-term strategic relationships for our group. This org structure has been successful, allowing way to focus on ensuring preparedness for hopefully the business summer ever, and Matthew to see us grow our own stores as our agent stores and the bank to continue to grow, both domestically and internationally. More importantly, it's allowed me to meet some great potential acquisitions or merger partners. I've been meeting several people that we have an interest in. And so far, the feeling has been mutual and it will continue to focus on efficiency and execution of our strategic plan. So I thank you again for your time and your support, and I'd like to open up the floor to any questions that you may have for Gerhard, Alan or I. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question will come from Robin Cornwell at Catalyst Research. Please go ahead.
Robin Cornwell: Thank you and good morning. And I really appreciate the – more the detail on the EBC revenue, which is really my question to Alan. So of the 4.9 million in U.S. dollars, I believe the payment is $3.5 million of that, which leaves, I believe, the international FX and banknote business unaccounted for. Can you give me any insight as to the kind of revenue? And also, I guess, because EBC has been so successful in building its revenues, are you, at some point, going to have – separate out the financials for EBC?
Alan Stratton: Good questions, Robin. I appreciate that. Your first one, in regards to the share of revenue, I just want to clarify that the payments segment represented about a third of the bank's revenue. And so, it's two thirds banknotes, one third payments, the payments being the FX piece that I spoke about. So that would be about CAD2.25 million in the quarter.
Robin Cornwell: So the payment is one third, the payment was $3.5 million. How do I reconcile that?
Alan Stratton: Well, no, there's – you're talking about the payments revenue for the group, I think, a $3.5 million.
Robin Cornwell: Yes.
Alan Stratton: So there is payment revenue in both Canada and the United States.
Robin Cornwell: Okay, fine. I missed that, okay. So you said the payments – could you run by me the breakdown again?
Alan Stratton: Yes. For the bank, one third of the bank's revenue comes from the payment segment…
Robin Cornwell: Okay, great.
Alan Stratton: …balance from the banknotes. It's a good question about the financials, but we do actually report into OSFI. And so the bank's financials performance is available quarterly through the OSFI website. However, we do have upcoming new disclosure requirements under the new guidelines coming forward in Q2. And so, we'll be looking at putting some additional information in the public realm as well there.
Robin Cornwell: Great, okay, terrific. Thank you. And my second question is for Randolph. And I guess it's a back to the old question though. Are there any potential acquisitions that you see?
Randolph Pinna: That's why – Hi, Robin. That's why I ended with the fact that I am having more time to get to know some of the owners of the businesses. They've successfully grown in their markets, and I am in discussions. We don't have anything imminent to report on in the next month or so, but we are in serious talks with a couple of potential targets. Again, we like to call it a merger where we're merging together. It's not a murder where we're planning on, stealing a book and eliminating people. We actually see the value of getting good talent, some technology, and, of course, the book. We – our M&A strategy is to have accretive transactions. We're not looking to buy a bleeding business. We are looking for established businesses as the last few we've done that have been all successful. That is the same recipe that we are looking for. But there is nothing to announce as of today, Robin. Until we sign a letter of intent, we would not bring that to the public market.
Robin Cornwell: Okay, thank you. And if there was an acquisition of any size, would you consider issuing your stock?
Randolph Pinna: That is always a consideration of if and when you would issue new shares as a major shareholder and still with access to lines of credit as well as possibly a term loan to support an acquisitions. Our primary funding would likely come from cash we have in-house as well as utilizing our credit facilities prior to doing a strategic – besides issuing some stock. But if there was a strategic large transaction that requires both the mixture of equity and debt, that is not ruling out. So our M&A does not prohibit us from making a transaction utilizing both stock and debt. In fact, one or two of the owners actually prefer that mixture of some equity as well as cash because they too want to stay in the game. And that's why I made the comment about merger versus murder, because we – our philosophy – as we build looking at, let's say, exchange banks and out west, possibly where we don't have an office, we're just at Montreal and in Ontario, in Toronto. And so we would look to keep those people. But yes, we would if needed. But our preference right now would be to use our cash because we do have cash, and we’re generating more cash each month as well as the debt facilities we have as well as some banks have even offered to finance a five year note to support, let’s say, a five year payback type of transaction. But again, right now Robin, we don’t have anything ready to announce, but it is part of our overall plan. And if we could look at other people get questions because we’re running low on time, since I’d like to talk too much…
Robin Cornwell: Thanks very much team. 
Randolph Pinna: Thank you, Robin.
Operator: Your next question will come from Jim Byrne at Acumen Capital. Please go ahead. 
Jim Byrne: Hi, good morning guys. Just a couple from me. Maybe just a few of the expense items you could elaborate on, Alan had already mentioned. The shipping costs obviously increased dramatically. I appreciate there’s a good portion of that is variable. But you mentioned some price increases. Maybe just kind of flush that out a little bit here. And how quickly do you think you can kind of recoup some of those expenses and bring those back maybe to a more normal historical level? And then actually on the actual losses and shortages that number kind of keeps creeping up. I know there’s, there was an issue last year on one of the carriers, maybe just reminding of how that’s can be resolved here for 2023?
Alan Stratton: Good questions, Jim. I think the shipping and postage actually, I’ll let Gerhard speak to that because there’s actually we have appropriate coming in stream in regards to that.
Gerhard Barnard: Yes. So good question on postage and shipping increase. Part of our challenge is, part of our challenge was resolved with one of the – as I mentioned, overnight shippers that raised an issue in their – one of their hubs. So that’s very positive we had and discussions between wage and this specific vendor here in our offices, so able to move that process forward. And then what CXI and EBC has planning on doing is getting an in-depth understanding of postage and shipping. We’re appointing a data scientist that these are the main focus will be really understanding packages, shipment cost, value, cost per shipment. And your second part of the question is how quickly will we be able to realize some of those increases? It is in motion. Obviously, it’s a discussion and negotiation between various parties and that’s ongoing, thanks to our sales team. Yes. 
Randolph Pinna: Sorry, if I could just jump in and add, Jim the two topics were the cost themselves, which as we’ve – Gerhard said, we have someone now appointed to really stand on top of this. And when there’s a refund due because they didn’t deliver on time or they lost a package, we will be getting that money back. But it’s on a going forward. So when you say recoup, that’s not the right word. It’s going forward; we will be reducing the cost proportionately. One method that wasn’t mentioned that I wanted to mention is that we have been successful with one of our largest bank clients realizing that their contract with the overnight shipper was literally like half the price we pay. And so we were able with cooperation of the bank and the shipper and ourselves, utilizing our technology because it makes it so you can print out the label straightaway when you do the transaction. We did move that over and recognized a significant increase or in this case, decrease in the cost to us. And so that has said net increase to our profitability of the customer. We are now working with a couple of other very large client banks that have that same type of scenario. And so that’s another method we are working with this – both the finance side, looking at it and the customer relations side are both addressing it because it is the biggest cost of doing business with our clients. And as far as the loss is the actual steps, again, that had been an issue last year, it was still this year, but there were several law organizations involved besides the actual legal departments of the banks that were involved as well as the shipping company. And we feel that finally it has been identified and stopped. And so we do not anticipate nearly as much loss activity to offset that as well, which has increased some of the costs as we did move our high-volume company-owned stores to armored cars as opposed to the overnight model, which does have insurance and there’s no losses there. So we have been addressing both the cost of the shipping as well as the losses from it very aggressively, and we hope to have this under control. So we had answered your questions, Jim.
Jim Byrne: Yes, no, that’s great. Very good color. And then I guess when you mentioned Randolph, Europe, Eastern Europe, maybe just give us a scale and idea of that scale and potential growth rates there, whether that’s relative to the expansion that you’ve done so far in the Caribbean or anything like that? Maybe just give us an idea of market potential for CXI over there?
Randolph Pinna: Well, the sky is really the limit in the sense that there are so many banks around the world and the U.S. dollar still remains to be the world’s reserve currency. In FATF countries, which are very established countries like Canada, U.S. and Germany and so forth, the cash is mostly used for travel. But when you go into some of the non-FATF countries, you will see that especially in Central and South America, for example, which is closest to our world. And now with the Federal Reserve allowing us to process through Federal Reserve’s office in Miami, it really has enabled us to get more customers. But in those countries, cash, especially U.S. dollars, is used as a commercial means of trade. And so if the neighbor wants to sell the other neighbor, the motorcycle or the used car for $20,000, they pay that in cash. So there’s a very high demand for U.S. dollar cash usage for both international travel as well as commercial transactions. And hence, the volumes were recognized in these markets are much higher. Our biggest handicapped, if you will, is our bank is small. And we’ve actually done our largest cash trade I’ve ever done in my career just in the last quarter of $54 million in one trade. And the bank had to get special approval due to the size of the bank and the fact that the size of that transaction was bigger than the asset size of the bank. And so the credit facility and the need to build credit with these potential trading partners is our biggest roadblock. But luckily, the need for a second vendor over the primary world leader of distributing dollars, they all have an interest to establish that relationship. And so we are creating in clips of $10 million, maybe even $20 million. The margins are very, very tight. And we don’t give guidance, Jim, so I can’t unfortunately say, Oh, I expect to make x million this year on it. But if you look at, let’s say, our competitor who’s based in the UK, how much their business grew from one that they – before they had the Fed license into when they got it, you will notice literally double-digit million dollar growth. And so there is huge potential. But we are being very cautious. Our Board requires to approve every new country. We are going in all these – if they’re not FATF, we require a due diligence visit prior to the start of what we call the first time trade. And so we are being very conservative as a good Canadian bank should do, and we are taking it slow and steady so that we don’t have a surprise or an embarrassing loss. And so it will – it is part of our strategic plan, as you’ve heard us talk about, and it will continue to be a driver of growth at Exchange Bank of Canada.
Jim Byrne: All right. Appreciate it. Thanks Randolph.
Operator: [Operator Instructions] Your next question will come from Dilip Badlani at SKM. Please go ahead. 
Dilip Badlani: Hi, Randolph. Hi, Gerhard. Thanks for the time. I was just curious on the line of credit, the increase in the quarter. Is that just the timing or was that something we have to draw?
Gerhard Barnard: That was mostly timing. All right. Can you hear me?
Dilip Badlani: Yes, I can hear you perfectly. I hear you. So that was main – so that was just timing. Got it. So what is our true net cash level at the end of the quarter?
Gerhard Barnard: That’s always a very interesting question and everybody proves us on exactly what that is. And it’s challenging to give you a straight answer because it depends on the volumes and the need for our cash, as Randolph explained in the volume growth. And Randolph, would you like to sort of share more a range? I know you and I have discussed that range a little bit.
Randolph Pinna: And Dilip, your question is what is the free cash at the end of the quarter that would be available to utilize for an acquisition or something like that? Is that what you’re asking?
Dilip Badlani: You know because – our balance sheet is obviously confusing depending on the day of the week that the quarter ends. And so we have cash and then we have cash that’s in transit and we have lines of credit which again, is related to working capital. So I was just trying to understand, what is the actual net cash of the company. Exactly like you said, if you wanted to make an acquisition, if you wanted to pay a dividend, what would be the cash level of the company?
Randolph Pinna: Well, again, it is a difficult question to ask because at this quarter end, we could easily say $10 million to $20 million. But if you were to ask me in July or August of this year, we would – our operations unit would say we need every penny we have because we’re tapping up to the ends of our lines. But I would be comfortable to say, I’d say, in surplus cash, we would probably have somewhere in the range of $10 million to $20 million and hopefully growing each month. But again, we are looking at utilization of that in both our business and as well as in just running our day-to-day business.
Gerhard Barnard: And then I’m also, as you’re right, you’ve pointed out the establishment of credit facilities is one of our priorities as well.
Dilip Badlani: Yes, perfect. Okay. Because, yes I’m just trying to understand – congrats on a quarter and strong revenue growth, just wanted to get a gauge of how much cash is going off.
Gerhard Barnard: Also linked, also important to take into consideration, as Randolph mentioned, this is the seasonality of the business, Q1 versus the last summer, which totally gives you a very good indication that Q1 might be on the higher end and then when you move into the summer and the busier months, you might go closer to the lowering.
Dilip Badlani: Right. Perfect.
Operator: My apologies. We do have another question from Peter Rabover at Artko. Please go ahead. 
Peter Rabover: Hey guys. Hey I just wanted to follow-up on the previous question. I guess maybe another way to ask this with the increase in the credit line, would you be comfortable at some point, financing all of your working capital cash through the credit line going forward?
Randolph Pinna: Peter, we talked about this before, and this has been come up several times around the idea of actually getting, let’s say, a $50 million facility with a bank to finance the $50 million that we usually keep overnight in foreign currencies in our inventories. And that has – that leverage has been considered. It will continue to be considered. Obviously, with the interest rates going up, now it becomes more expensive. And since as of this minute, we don’t have a need for the $50 million in cash unless we were acquiring a business for $50 million. But again, that’s where banks have expressed even a more – a bigger comfort with doing – using these round numbers of $50 million, a $50 million five year note to support a $50 million acquisition with a five times earnings or payback. And so we will continue to always look at the best financing and liquidity position of the company. And as of now, we feel it’s more efficient to utilize our own cash, but we will continue to explore that.
Gerhard Barnard: And Peter, maybe to complement Randolph’s point is we are always in talks with Tier 1 banks to discuss these kind of arrangements, as he mentioned. So it’s not that – it’s not that we’re wasting on our laurels [ph] and is important for us to continue to explore those options.
Peter Rabover: Okay, great. I mean, I appreciate the color. Thanks so much guys. 
Randolph Pinna: Thank you, Peter.
Operator: There are no further questions at this time. So I will turn the conference back to Randolph Pinna for any closing remarks.
Randolph Pinna: Thank you. And again, thank you, everybody. We’re excited about the year ahead, the years ahead, and we appreciate all of your support of CXI Group, and we’ll remain available for any questions should something pop up afterwards. Please reach out to Bill or Gerhard or Alan or I. And if we can answer the questions, we’re happy to have a call. So thanks again, and have a good week.
Gerhard Barnard: Thank you very much. 
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank you all for participating and ask that you please disconnect your lines.